Operator: Ladies and gentlemen, welcome to the Sienna Senior Living Incorporated Q1 2022 Conference Call. Today's call is being hosted by Nitin Jain, President and Chief Executive Officer; and David Hung, Chief Financial Officer of Sienna Senior Living Incorporated. Please be aware that certain statements or information discussed today are forward-looking, and actual results could differ materially. The company does not undertake to update any forward-looking statement or information. Please refer to the forward-looking information and Risk Factors section in the company’s public filings, including its most recent MD&A and AIF for more information. You will also find a more fulsome discussion of the company’s results in its MD&A and financial statements for the period, which are posted in the SEDAR and can be found on the company’s website, siennaliving.ca. Today's call is being recorded, and a replay will be available. Instructions for accessing the call are posted on the company's website, and the details are provided in the company's news release. The company has posted slides, which accompany the host's remarks on the company website under Events & Presentations. With that, I'll now turn the call to Mr. Jain. Please go ahead, Mr. Jain.
Nitin Jain: Thank you, Tanya. Good morning, everyone, and thank you for joining us on our call today. At the end of April, Statistics Canada published the results of the 2021 national census. This showed that seniors over the age of 85, make up one of Canada's fastest growing demographics. The census also indicates that the number of people over 85 is expected to triple over the next 25 years and that Canadian seniors are becoming wealthier and staying healthier, more active and involved for longer. Today, over one in four seniors in the 85 plus age bracket already lives in a senior living setting or a hospital and this number is only going to increase as Canada's population is getting older. This unprecedented demographic shift and changes in senior needs and desires has been at the core of many of our recent initiatives, including our transformations to our platform.  In April, we launched a new website for our retirement platform, Aspira. And in recent weeks we started the roll out of the signature programs under the Aspira brand. We’re grounded in the belief that our residents desire and deserve choice, personalization and connections to the local community. This is reflected in our programs Nourish by Aspira, Active by Aspira and Explore by Aspira. While Nourish by Aspira focused on culinary experience and more choices, Active by Aspira offers an expanded range of fitness classes and Explore by Aspira aims to help residents connect with others, pick up a new hobby or continue learning. One of the initiatives under the signature program is Masters Academy, an educational program that is taught by experts on a variety of topics including history, religion, health science and lifestyle interests. Our newly founded brand Aspira is designed to differentiate our company and support resident satisfaction, lead generation and occupancy growth across the platform. Average same-property occupancy in our Retirement portfolio increased by 90 basis points to 85.5% in the first quarter compared to Q4 2021. In April, average occupancy reached 87.1%, its highest level in over two years. Since May of last year, monthly average same-property occupancy has increased by 830 basis points. Our Retirement portfolio benefited from numerous marketing and sales initiatives, including an intense focus on outreach to our community partners in addition to pent up demand. We are also very focused on creating demand by tracking seniors who are currently living at home and who are not actively considering retirement living. This resulted in a 58% increase in resident move-ins year-over-year in the first quarter. Rent deposits also remained high throughout Q1 an increased by 51% year-over-year, and leads are up 94%. For the balance of 2022, we forecast continued occupancy improvements in our Retirement portfolio. Moving to long-term care. In our long-term care communities, admissions of new residents slowed during the first week of 2022 as a result of the new restrictions and the high transmission rate of Omicron. However, occupancy started to improve towards the end of the quarter. Same-property occupancy was 93.8% in Q1 2022, excluding approximately 500 beds that are unavailable largely because of third and fourth beds in the room. Starting in February 2022, occupancy targets have been reinstated Ontario. This means that homes require a 97% occupancy rate to receive full funding. Given the long waiting lists for long-term care beds in Ontario and British Columbia, we anticipate to meet the required occupancy targets at the vast majority of our care communities for full funding in 2022. We have continued to develop new long-term care platform similar to the enhancements we are making at our retirement operations. Our aim is to elevate our resident experience with respect dining, recreation and community focused interactions, in addition to improving the move-in experience. During Q1, we entered into an agreement to acquire a 50% ownership interest in 11 property portfolio in Ontario and Saskatchewan from extended care. We have received all necessary regulatory approvals and are set to finalize the acquisition of this $308 million portfolio in the coming days. We are excited to welcome the residents and over 800 team members in Ontario and Saskatchewan to our growing platform. We are acting as a manager of the portfolio, which is deepening an already well established relationship with Sabra as we are currently managing eight of the Sabra wholly-owned properties in Canada. The acquisition has an approximate 6% unlevered yield in the first year following closing and is expected to be accretive to Sienna's OFFO and AFFO per share.  In addition to this portfolio acquisition, we entered into an agreement to acquire $72 million retirement residence in Saskatchewan in joint venture with Sabra, which is expected to close later this quarter. We also entered into an agreement to acquire a $26 million campus up here in Barrie, Ontario, which is expected to close in Q4 2022.  With these acquisitions, we expect to capitalize on the growing demand for quality senior living in each community. In Ontario, the assets are strategically located around the Greater Toronto Area, and the Niagara to London corridor.  Now moving to our focus on Saskatchewan. Our acquisitions will also give us immediate scale in the Saskatchewan market, one of the fastest growing markets in Canada. Saskatchewan real GDP is expected to grow substantially as a result of the strength of the energy and agriculture sectors. In addition, the province’s job market is exceptionally robust, and the housing market remains strong. With respect to the retirement sector, Saskatchewan has a high capture rate and despite considerable new supply coming to market over the past decade, average rental rates have consistently increased by approximately 3.3% annually from 2009 to 2021.  Our development momentum is continuing with construction starts scheduled for two of our long-term care development later this year. Early site works have started in Brantford where we will replace the current 122 long-term care beds with 160 new beds and add 147 retirement residence to create an integrated campus of care. We also expect to start construction in Keswick later this year where we will be replacing the current 60 long-term care beds with 160 bed home. These projects are part of Sienna’s $600 million redevelopment plan of our Class B and C long-term care communities. To-date we have received 10 licenses allocations from the Ministry of Long-Term Care for 12 of our long-term care communities for a total of 2,600 beds, including approximately 1,800 beds for renewal and over 800 new beds. These allocations cover substantially our entire Class C portfolio.  The license allocations bring certainty to our redevelopment program. Once the redevelopments are completed, they will elevate the quality of life for residents and the family members provided additional capacity and a great workplace for our team members. Our redevelopments are also an opportunity to address climate change and significantly reduce the environmental footprint of these homes to energy efficient heating, cooling, lighting and updated energy efficient windows and fixtures.  Our industry is at the cusp of exponential growth, and we expect competition for talent to further intensify the years ahead. As part of the strategic objective, we aim to offer a compelling team member experience and nurture a purpose-driven culture. We are the first Canadian senior living company to offer shares to every eligible full time and part time member to the Sienna Ownership and Reward Program sold. This program was approved by shareholders at Annual General Meeting in April and get started to issue shares to our team members.  Two days ago we celebrated this milestone at the TSX with many of our long serving frontline team members. I was deeply honored to ring the opening bell with [Vernicia Wade] a PSW at our Harmony Healthcare Community in Toronto who has been with us for 47 years. Our team members' incredible dedication and passion inspired us to launch SOAR and I cannot think of a better group to be recognized as owners of a company. Our talent initiatives also include numerous programs to support our team members' career growth and to bridge the existing labor gap in our sector. Programs include government sponsored education programs, expedited placements of internationally educated nurses, and increasing recruitment of college and university students. During the first quarter 2022, approximately 640 students were placed across our residences. As we grow our company, we will continue our focus on creating a positive experience for our team members and supporting their personal and professional growth.  With that, I'll turn it over to David for an update to our operating and financial results.
David Hung: Thank you, Nitin, and good afternoon, everyone. I will start on Slide 15 for financial results. Sector fundamental continued to strengthen during the first quarter and demand for quality seniors living is increasing in many of our key markets. In our Retirement portfolio, average same-property occupancy continued to improve during Q1 and in our Long-Term Care portfolio admission started to accelerate during the second half of the quarter, after a slow start in the early weeks of 2022, due to renewed restrictions and the high transmission rate of Omicron. At the same time, intense competition for talent and cost pressures as a result of the ongoing pandemic and decades high inflation continues to impact our operations. All of these factors are reflected in our financial results.  In Q1 2022 revenues increased by 8.1% year-over-year to $174.3, largely due to increases in direct care hours funding in long-term care and occupancy and rental rate increases in retirement. Net operating income decreased by 27% to $32.1 million this quarter compared to last year. The significant decline was largely the result of a retroactive government funding in Q1 2021 for 2020 pandemic expenses. NOI was also impacted by higher staffing, culinary and utility costs, increases in insurance premiums, and this was partially offset by occupancy growth and annual rent rate increases in the Retirement segment, and annual funding increases and increases in our preferred accommodation revenue in the Long-Term Care segment, in addition to a moderation of pandemic costs. Retirement same-property NOI increased by $0.9 million to $13.5 million, compared to last year, primarily due to occupancy improvements and annual rental rate increases in line with market conditions. This was partially offset by higher costs for agency staffing, culinary costs, utilities and insurance premiums. Rent collection levels remained high at approximately 99%, consistent with pre-pandemic levels. Sienna's long-term care same-property NOI decreased by $11.6 million to $18.1 million compared to last year, primarily due to $15.3 million in retroactive funding recorded in Q1 2021 for pandemic expenses incurred in 2020. Excluding net pandemic expenses and recoveries in both comparative periods, long-term care same-property NOI would've increased by $0.1 million to $19.2 million in Q1 2022 compared to Q1 2021.  Over the past two years, we have seen significant cost pressures, including high agency costs due to staffing shortages, increased insurance premiums in the seniors living sector and rising utility costs, in addition to generally high inflation in line with the overall market. We expect that continued occupancy gains, rental rate increases in our Retirement portfolio and an improving operating environment will help mitigate these cost pressures and support our operating margins in 2022 and beyond. We anticipate that pandemic expenses will further moderate as the pandemic subsides, while related government funding gradually decreases. For Q2 2022, we expect incremental net pandemic related expenses could range from $2 million to $3 million with continued declines in the second half of the year. Moving to Slide 16. During Q1 2022, operating funds from operations decreased by 36% to $16.1 million compared to last year, primarily due to lower NOI as a result of pandemic recoveries in 2021, and higher current income tax expense. This was partially offset by lower administrative expenses and lower interest expenses on long-term debt. Q1 OFFO per share decreased by 37% to $0.239. Adjusted funds from operations decreased by 38% to $16.4 million compared to last year, primarily due to the same reasons as the decrease in OFFO, as well as higher maintenance costs and lower construction funding. AFFO per share was $0.243 in Q1 2022, resulting in an AFFO payout ratio of 96%. Looking at our debt metrics on Slide 17, our debt to gross book value decreased by 450 basis points to 41.5% at the end of Q1 2022 compared to 46% at the end of Q1 2021, mainly as a result of mortgage repayments and the issuance of 5.8 million shares in late March 2022 to fund our acquisitions. The proceeds from the issuance will be deployed to help fund our acquisitions as they close. Debt to adjusted EBITDA increased to 8.7 years in Q1 2022 compared to 6.2 years in Q1 2021 and interest coverage ratio decreased to 3.3x in Q1 2022 compared to 4.7x in Q1 2021 as a result of the retroactive payments received in 2021 relating to 2020. We have limited debt maturities over the next two years, and our debt is well distributed between unsecured debentures, credit facilities, conventional mortgages, and mortgages insured by the Canada Mortgage and Housing Corporation. To execute on our strategic growth plans, we have been active on a number of financing initiatives to raise capital to date in 2022. At the end of March, we completed our first equity offering in four years. Approximately 5.8 million shares were issued at a price of $15 per share for a total of $86.3 million, including the full exercise of the overallotment of [750,000] shares. The successful completion of this offering was a clear indication of the strong investor interest and confidence placed in our company and our sector. On February 3, we secured $150 million acquisition term loan at 145 basis points over the floating BA rate for a 12-month term to finance our acquisitions. In connection with the closing of the 11 property portfolio transaction in the coming days, as well as the closing of The Village at Stonebridge later in Q2, we anticipate making a $90 million onetime drawdown on this term loan to finance our acquisition. We will assume CMHC insured mortgages for two of the acquisition properties for approximately $27 million at Sienna’s 50% ownership share at a weighted average interest rate of 2.24%. In addition, we have sold two non-core properties in Q1 as part of our capital recycling initiatives, including a retirement residence in British Columbia, and a long-term community in Ontario. The net proceeds from these sales will be used to support our growth initiatives.  I will now turn the call back to Nitin for his closing remarks. 
Nitin Jain : Thank you, David. The most treasured relationships people have in life are often with their parents. And at Sienna, we have the privilege to care and serve people's parents. As we grow our company and transform our operations, we are constantly reminded of our company's important purpose and the role we play in the lives of thousands of Canadian seniors and their families.  In the coming months, we will unveil our new purpose and vision statement for Sienna. Our vision statement underscores what we think it will take to be Canada's leading senior living provider to a continuum of care from independent living to full care. The experience and learnings over the past few years have given us new clarity around our purpose and guided us in our reimagined new vision for the company. In everything we do, we consider the profound impact we have on our residents and team members' quality of life and wellbeing. Helping them find joy and happiness in the big events and small moments and everything in between is always top of our mind.  On behalf of a management team, and Board of Directors, I want to thank all of you for your continued support, and your participation on the call today. We are now pleased to answer any questions you may have.
Operator: [Operator Instructions] Our first question comes from Jonathan Kelcher of TD Securities.
Jonathan Kelcher: First question just on the occupancy, you guys had a nice little run here. You're already at the -- in April, you're already at the bottom end of your year-end target. Is it north of 89% something that you think you can achieve?
Nitin Jain: For now Jonathan, we continue to believe that 87% to 89% is the right place. We did -- we have been working on it over the last 10 months or so. And we saw a significant increase in occupancy since May. So, we feel going forward we either will stay consistent, or we'll see growth at a smaller pace. So at this stage, we're not comfortable changing that number.
Jonathan Kelcher: Okay. But that's something like, if you have a good summer season, that's something we might see?
Nitin Jain: Yes, it'd be math at that point. Yes, it's higher, obviously. So -- but you are correct. If the momentum does not slow down, then for sure because, you're correct, we are at 87% which is the low end of our guidance.
Jonathan Kelcher: Okay. Now the Aspira program that you're rolling out, if we were to look at that on an apples-to-apples basis pre-COVID and now, how would I guess it looks? Like I'm guessing it costs a little bit more to run that. How would you -- how could we think about margins between before and after?
Nitin Jain: Yes, I can -- David can answer the margin question. We do not see Aspira making a significant change in our margins. Because the things we're doing, for example, putting more focus on how the food and what we find is given our purchasing power, healthier food doesn't mean more expensive. It just means we have to be careful what we choose. There's more choices for residents, the choices are carefully curated. So we do not anticipate Aspira in any way to drag down our margins in any significant way. And David can give a bit of guidance on margin expectations. 
David Hung: Yes, no. Sure. Thanks for the question. So our gross margins at the end of Q1 were approximately 36%. And that's fairly consistent with last year. I think that we would anticipate that our full year margins could be higher by about 100 basis points or 200 basis points. It's a little bit hard to predict at this point, given cost pressures, but we do see it going up from the current Q1 margins.
Jonathan Kelcher: And then just lastly for me. The $2 million to $3 million in net pandemic expenses, would that that'd be more on the retirement side than LTC I'm assuming?
Nitin Jain: It's actually going to be on both Jonathan. It would be on the BC long-term care side as well as on retirement.
Jonathan Kelcher: Okay. But Ontario LTC is likely going to get covered by government funding, is that a correct statement?
Nitin Jain: For the most part, it would. Yes. 
Operator: Thank you. Our next question comes from Scott Fromson of CIBC. Your line is open.
Scott Fromson: I was actually going to ask a question on inflation, but it sounds like you covered in Jonathan's question. Just maybe you could give a little bit of color on funding strategy for the development and redevelopment plans, please.
Nitin Jain: Sure. We are still in early stages, and we are seeing some delays with the global supply chain issues that everyone is experiencing. So, we thought we will be inching towards $50 million to $100 million range of development spend this year. We don't think we will get there. So, we have a couple of years as we move towards that. With increasing occupancy in retirement, having a long-term care stabilized, there was a time where our payout ratio was in the 60s. So, we do think, as our payout ratio start to inches a bit lower, we can start using some of a free cash to do that.  In the meantime, we have very good access to our revolver obviously, and to construction financing. And it'll take probably a couple of years before we get to a place where we are spending $100 million a year. And we do think as we get closer to that, we would've free cash flow to fund our equity portion of the development.
Operator: Thank you. Our next question comes from Himanshu Gupta of Scotiabank. Your line is open.
Himanshu Gupta: Just to follow up there. I think David, you mentioned NOI margin to be 100 basis points to 200 basis points higher. Were you talking about retirement home or LTC?
David Hung: I was referring to retirement.
Himanshu Gupta: Retirement home. And how does that compare to your pre-pandemic margin? I mean, your occupancy is almost pushing 89%, 87%. And what will be the spread between your pre-pandemic and today's margin then?
David Hung: Yes. I mean, our pre-pandemic margins were in the low 40% range. We are currently at 36%. We do anticipate that the margins will go up a couple of 100 basis points between 100 basis points or 200 basis points and that's we feel pretty comfortable about that at this point.
Himanshu Gupta: Okay. That's fair enough. And then also, David, in your prepared remarks, you were talking about the rent rate increases in the Retirement portfolio. So what kind of rental rate increases are you doing? I know there is a pressure on your operating expensive side. But have you increased the rental rate increases here?
David Hung: Yes. We have that rental rate increases throughout the last two years, mostly in line with inflation and also for care because we are using agency and other things to provide the care and retirement as well. And with the inflationary environment that we see, we are looking -- we are reviewing our rates to see how we can manage some of that cost because everyone does understand, whether it's utility, whether it's insurance, whether it's labor costs, they are all going up. But we are in early stages of figuring it out, how and when, and how much of it to actually reflect in our rates.
Himanshu Gupta: Got it. Okay. Thank you. And then on LTC side, I mean, you did not need the occupancy protection for February and March. So what was the NOI slippage because of that?
David Hung: Yes. We actually didn't have a lot of slippage as a result of the -- any of the occupancy protection funding at the end of January. We anticipate that the vast majority of our long-term care homes, we'll achieve 97% target by the end of the year.
Nitin Jain: And Himanshu the way it works is that it's really your meaning that for the entire year. So it's not that if you don't need it for the first month that you take a clawback. The only time you would do that is if you get to a point where mathematically or operationally you cannot get to 97%, that's when you will start building a clawback. But we continue to feel confident that we'll get to that 97% as we meet some of the restrictions that are already on the beds, whether it's isolation or third beds and four bed rooms.
Himanshu Gupta: So there's not going to be any slippage here. Okay, so good to know. And then keeping on LTC, have you recovered everything from the last two years, like any catch up still left to the receipt on the pandemic expenses?
David Hung: Yes. I mean, we're not expecting anything at this point in time. As we've indicated, we've recorded $2.2 million of retroactive funding in the first quarter relating to 2021. And that's all we are expecting at this point.
Himanshu Gupta: And maybe just last question from my side on occupancy discussion. I mean, clearly, you have done a good job at 87%. So just wondering, Nitin, are you gaining market share here? Or are you simply capturing the pent up demand in the system?
Nitin Jain: Yes. I mean, for us, it's really about pent up demand. We don't really look at market share necessarily across considering that -- and it's very different than each market with different operators. And I think we see, overall -- as Omicron is subsiding, people are doing more tours, we are seeing more activity across our markets, not only just in our homes.
Himanshu Gupta: And can I say like British Columbia you would like almost 90% or plus and Ontario would be lagging or both are going hand-in-hand, like British Columbia and Ontario?
Nitin Jain: I mean, we only have four homes in British Columbia. So it's hard to provide that level of detail, but we see consistent increases in both the provinces. 
Operator: And our next question will come from Tal Woolley of National Bank.
Tal Woolley : I just wanted to start by looking at like some of the pre-COVID performance in the Retirement portfolio until now. If I look at like Q4 '19, you were sort of running similar occupancy, similar revenue like overall versus today. And I understand the cost portion impacting the margin. But I guess, I am a little surprised with the run up in occupancy and given there's been a couple years in there that the revenue line isn't moving maybe a little bit more than I thought it would. It feels like maybe there's either like a mix shift in terms of where the -- either the mix of independent versus assisted living or between services and rent. Or that maybe rents have been constrained somewhat by the challenges in the market right now. Can you just give me a little bit of color around the top line in the retirement business?
Nitin Jain: Sure, and I think that the context of it is so important. That's a great question, Tal, because when -- in the timeframe you were talking about, we were coming down in occupancy that we were used to be 90s and we were coming downwards. So, when you're at high occupancy, and that get reflects in your rates, when you only have two rooms left to sell, you can be a little bit more closer to market than you would be otherwise.  Now, we're in a place where we're driving up occupancy. So it is hard to drive up occupancy and rate at the same time. However, now we're getting to the point where we do have some homes which are 90 plus, where we would have an opportunity where you only have two rooms left with the view to the pond, and then we can make a change in those rates. So you're right, they both have similar occupancy, and the revenue number is a bit different. Because of that one is coming down where you kind of had -- you already built up that and now this one is coming up.  So as David mentioned, if it wasn't for the inflationary environment we were in, we would be -- actually be more confident in our margin expansion. But given the uncertainty of utility costs and issues around labor and agency staff, we are going to be a bit more conservative in our view, and how margin and when that margin will expand. It will -- our top line will start growing, as we fill it closer to stabilization. 
Tal Woolley : And then, like you were sort of running margins like said earlier in the low 40s at that point. So if you're sitting from the outside, looking in, I appreciate that -- like you can sort of see 100 to -- a couple 100 basis points before the end of the year, how long like A, do you think getting back to sort of those low to mid 40 NOI margins is going to be possible? And then what kind of timeframe do you think it takes to get there, if it is possible?
Nitin Jain: Yes, so the first question, we do think there is a path to get back to those margins, because the business has not fundamentally changed. Again, the hesitation, I'm giving you a bit of a timeframe for that. So we do find a little bit more certainty around getting to stabilize occupancy over the next 24 months or so. But the margin one is going to be challenging, because it's hard to predict what will happen. Our biggest expenses are really labor and utility costs. And since there's minimum visibility into it as to what might happen, it is hard to predict when you would get there, but we do see a path to it. Because again, most of the pandemic related costs for the homes, which are not in outbreak, we do see that costs come down significantly. So we do not see -- we're not seeing a lot of stickiness to that pandemic cost if the home is not in outbreak.
Tal Woolley : And then on the LTC side, and I apologize, I missed a few minutes of the preamble, I don’t know, you might have already answered this. But your average total occupancy was around 87% for the quarter, you want to be obviously in the 90s to achieve full funding. Can you give us an idea of like where the challenges are? Like is it sort of across the board in the remaining network where you need to work to get occupancy up to the level to achieve full funding? Or is it a handful of sites where there are real issues? And can you speak to sort of like what might be constraining that occupancy right now given the demand that there is inherently in the system?
Nitin Jain: Right so the occupancy number for long-term care is 93.8, and we do -- and the constraint is really -- during Omicron, obviously things were shut down and people couldn't move in. The wait list has not gone away. And we would it’s only growing because this is a need driven work where people who need long-term care. So it is more an aspect of, home is in a significant outbreak, you cannot move people in. And so it's really -- there is not really any much more than that, than to just ensure as homes are not in outbreaks, they can start moving people. And the difference we are finding and why outbreaks are not making lot of conversation is because we still have homes in outbreak. It is becoming more an IPAC issue, making sure you have the right staff. Because from a health perspective, being all our residents mostly vaccinated, we are not seeing this becoming a health crisis. We are seeing more - it's either a human resource crisis, or it's a more infection prevention to ensure we are trying to limit that increase. So we do again see that for most of homes will get to the 97% number.
Tal Woolley : Okay. And then, just going forward, you guys have -- obviously, it was a busy quarter last quarter. You kind of standalone in the market now as being the one publicly traded player who is committed to engaging in the full redevelopment of your Class C beds. You also want to grow your retirement business as well, and that will likely largely be done through acquisition too. Can you just talk about how you're thinking about balancing that and what should investors expect in terms of the mix of where the spending is going to go over the next few years? And on the retirement side, like, do you have a -- would you call it like a pipeline of acquisition targets or is it still kind of a more opportunistic as assets sort of come to market, you sort of participate in the process? 
Nitin Jain: Sure. Let me answer your second question first, because I think that’s straightforward. So we don't really have a specific pipeline. I mean, one of our pipeline was the homes that we used to manage and now I think we basically have bought all the ones that we could buy out of that. So, I think that pipeline has not stopped and it was not material. Most of the other homes that we buy, even though they are relationship focused, most people do decide nowadays to go-to-market. So we’ve participated where it would make sense for us. We are not shy from walking away in the sense, when we look at initial due diligence, we do not -- we are not trying to do this as a sport, so where we start five different deals just for the sake of it, because it takes significant resources from operations, from finance, from investments and the company overall. So, we're pretty picky in which one we proceed with and the ones we proceed with we have a lot of conviction towards closing and we saw that with the last three deals that we announced. So, we really -- it's market dependent is really what our focus is. But it has to fit our criteria of retirement, what we are looking for, or long-term care in other provinces.  From a mix perspective, you are correct. We are the only one left with -- in a publicly traded world, which has both long-term care and retirement. And for us, that not only is unique, we also think it's a significant strength for us. And before even COVID, 4 years back when there was huge supply issues in retirement, where everyone was building retirement homes, long-term care provided that consistent, stable dividend power -- sorry, consistent cash flow. And when we ran into Omicron, having that diverse portfolio, having the leadership and resources in retirement helped us as we were short staffed at many of -- whether it’s leadership positions or trying to find resources, that was a significant resource for us to move to find in retirement. And also helps us grow, because there's lots more retirement opportunities for acquisition versus long-term care. The combination of it also shows up in our balance sheet strength. We have a strong rating in BBB with a stable trend. And we do feel it is driven by both the stability and the predictability of long-term care. Even though it's lower margin, and it's doesn't grow much and offset with growth from retirement, but also has a bit more risk. And as we move forward, again, we talked about the need of Canadians going forward, the growth in 85 plus population, and both of our businesses are need-driven. Even at a time and space, we don't really have pure senior apartments where people are making a choice. Most of the people coming to us in retirement space have some form of need. It might be that they just don't want to cook three times a day. So we do feel having the right mix of long-term care and retirement and at times one gets weaker, and one gets stronger, is a very important thing and we are committed to that strategy.
Tal Woolley : And like, one of the challenges of having both is obviously like there's a perceived cost to capital difference between retirement assets versus long-term care, and carrying both in one entity. If you're trying to buy stabilized retirement assets, it can be a little bit more challenging to make the deals accretive, because the market is going to price your entire portfolio, not just the retirement piece. Does that maybe lead you down the path of doing more development of retirement homes then as we as we go forward, particularly, since you're going to be picking up some more -- increasingly more experience with the long-term care side?
Nitin Jain: Yes. For us, our big focus on development, and we have a lot of it over the next five to seven years is really long-term care. And where we can, we would add retirement suites to it, for example, the one we're going to build in Brantford, we're going to add retirement homes. The [COO] project, even with talks about long-term care. The current long-term care beds are attached to a retirement home. And once that home moves over, we will be adding potentially more retirement suites on that side.  So we have a path of retirement developments with that. We're also doing retirement development with a partner. So if we find right partnership opportunity to develop, we will do that. But we haven't found that constraint of the cost of capital issue for us, because, again, our leverage, our balance sheet is in a great strong point and it was recently proven to us last. When recently we did a big acquisition and equity market wasn't really that strong so we decided not to do an -- to raise capital at that point from equity perspective and we had enough room on our balance sheet to be able to do that. And we continue to have the room on our balance sheet going forward as well. So we do not think having the mix in any way hinders our cost of capital, I would, in fact, say because the scope it provides the ability to drive synergies, we have a much bigger procurement process, because of our long-term care business as well. So we do think there's -- it is one of those credits, one plus one doesn't really equal two, it's really two and a half or three, and we have committed to that mix.
Operator: [Operator Instructions] Our next question comes from Pammi Bir of RBC Capital Markets. 
Pammi Bir : But just really one question for me. You're clearly getting good traction in the retirement occupancy. And particularly considering Q1 is obviously typically a weaker quarter to begin with. Your marketing initiatives seem to be working well. But what do you think Arun you may change, maybe going forward to get the next leg up beyond let's say, 89% occupancy that you've guided to?  And then secondly, what do you see as the new normal for stabilized occupancy in a post-pandemic world maybe before new supply starts to accelerate? 
Nitin Jain: Sure. Good morning, Pammi. I think that we do think stabilization to be in the low 90s, continues to be a goal. And over the next 24 months, we think we can get there. So we do not -- so that in our mind hasn't really changed. On our retirement side, we continue to see very strong leads, we continue to see strong tours, we continue strong move-ins. So I wouldn't really call it as a change in strategy, because we don't have one national approach, we are quite specific about local community. So, a home, if it's at a 80% occupancy in one community, it’s going to do with something – something is different than a same -- than another home with 80% occupancy in a completely different region. So I wouldn’t call it a change in strategy versus just continue to focus on it, and we have -- to your point we are seeing good results of it. We saw a significant increase in our occupancy since May of last year. So we're not really looking to change approach, because our approach has always been different for each market, where we have been.
Pammi Bir : Got it. Just, when you do get into the higher sort of 80% range at a particular property, what do you do to -- what makes the difference then? Is it -- for the -- there's pent up demand, and maybe incentives might help initially when if a property might be struggling a bit. But once you get to that upper level, the incentives taper off. Does it ultimately come down to then just the service, maybe relationships in the community? Or is it kind of the same answer that really just depends? 
Nitin Jain: Yes, I think it's a combination of all of that. It also is a bit of an attitude. I used to work in hospitality many, many years back. And when you have a great product that’s solid, it’s doing well, everyone wants to be a part of it. So, as you drive this occupancy, when people come to our home, it is full -- the lobby area is full, everyone -- the dining area is full. And that's where people are coming to long term care for social interaction. I mean, that's a key component because they've always had a place to live. So, as place get busier, it's frankly, it's a bit of -- that only helps more. So it's very strong tailwind when you start -- when you’re having a home, how staff reacts, suddenly you have more service because you have more people eating in the dining room. So it really becomes a bit of a self-fulfilling process in a good way. So then your occupancy starts increasing and we did -- we are seeing that across our portfolio as we've seen increase in our occupancy.
Pammi Bir : Maybe one last one. What do you think is the perhaps most common differentiation or differentiating factor that maybe helps Sienna to have competing properties in your market? Like what is it that you guys are particularly good at? 
Nitin Jain: Yes, I'm not sure if it's something particularly good at, I would say it's more -- we have a brand new team and we are focused on transforming both our talent platform and our long-term care platform. We get a lot of questions on Aspira, on the new name and website, but I would say that was the last thing we worried about was should we change the name? We were focused on differentiating our product and what do we stand for? Again personalization choice by the local community, because the seniors coming into -- and we see some of it already, because average age is 84, but it does have a mix all across. I mean, so far, the retirement space, we have taken care of parents of baby boomers, who grew through the great depression and their view in life is quite different. And now we are taking care of baby boomers, who are -- view in life is different. They -- instead of great depression, they live through 200 TV channels with 15 different credit cards and way to enjoy different things. And their expectations and choices are going to be different. And we are starting to make those changes. And we saw some early results of that in some of our occupancy. So I would say that would be part of it then rather than something very specific, other than that.
Operator: And I'm showing no further questions at this time. I would now like to turn the conference back to Mr. Jain for closing remarks. 
Nitin Jain: Thank you. Once again, on behalf of all of us at Sienna, thank you for your continued support. And I hope you have a great summer ahead of you. Thank you. 
Operator: Ladies and gentlemen, this concludes today's conference. You may now disconnect.